Operator: Greetings, and welcome to the First Quarter 2019 Financial Results and Business Update Conference Call for Yield10 Bioscience. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference call over to your host, Yield10 Vice President of Planning and Corporate Communications, Lynne Brum.
Lynne Brum: Thank you, Tim, and good afternoon, everyone. Welcome to Yield10 Bioscience First Quarter 2019 Conference Call. Joining me on the call today are President and CEO, Dr. Oliver Peoples; Vice President of Research and Chief Science Officer, Dr. Kristi Snell; and Chief Accounting Officer, Chuck Haaser. Earlier this afternoon, Yield10 released its first quarter 2019 financial results. This release as well as slides to accompany our presentation today are available on the Investor Relations section of our website at yield10bio.com. Please turn to Slide 2. Please note that as part of our discussion today, management will be making forward-looking statements. These statements are not guarantees of future performance, and therefore, you should not place undue reliance on them. Investors are also cautioned that statements that are not strictly historical constitute forward-looking statements. Such forward-looking statements are subject to a number of risks and uncertainties that could cause the actual results to differ materially from those anticipated. These risks include risks and uncertainties detailed in Yield10's filings with the SEC, including the company's most recent 10-K. The company undertakes no obligation to update any forward-looking statements in order to reflect events or circumstances that may arise after the date of this conference call. Now I'll turn the call over to Oli.
Oli Peoples: Thanks, Lynne. Good afternoon, everyone, and thanks for joining our call today. I will provide an overview of our innovation platform, market opportunities, business strategy and recent accomplishments. Kristi will then provide an update on progress on our 2019 field trials and other traits. I will then go over the financials and summarize our key milestones for the year before opening the call to questions. Now let's turn to Slide 3, our innovation platform. Crop production, if our relation of the current $5 trillion global food industry is expected to have to double by 2050 to feed the growing global population, with increased pressures on agricultural land. Addressing inherent and green yields, our problem is challenge the industry with a meaningful impact on global food security. Yield10, an agricultural bioscience company created the Traits Factory to develop high-value genetic traits or genetic apps with agriculture and food industries. Our primary mission is to increase grain yields by developing traits and main grain crops more efficient. The Trait Factory also enables the development of novel, high-value traits to provide new options and revenue opportunities for farmers. Since our inception in 2016, we have developed a Trait Factory, a robust technology platform, and a portfolio of traits to address the most fundamental challenge in the crop space, yield. The Trait Factory is a designed build platform for crops. Identify gene targets to achieve to trait outcome, and to yield them into the major crops and pass them in field trials. The core of the Trait Factory, our trait discovery platform GRAIN, which stands for Gene Ranking Artificial Intelligence Network is unique in the industry. This advance computational system enables our scientists to identity small numbers of key gene targets for a wide range of valuable traits. We've reported, presented and published work with several yield traits based on this platform, illustrating yield gains that may be possible using our approach. The tools of our technology have also advanced and genome editing could be the perfect tool to accelerate the deployment of our novel traits in crops. We believe our Trait Factory platform may enable us to go from GRAIN modeling insights to editing traits to field testing to a product in at least a 5-year time period. A vast acceleration is compared to the historical time lines in ag biotech. Turning on to Slide 4 to discuss the North American seed sector. Revenue in the U.S. seed sector is dominated by biotech input traits for perfecting green yields by providing resistance to herbicides and insect pests in corn, soybean, cotton and canola. The seed sector is now consolidated and primarily in the hands of the three ag majors via crop signs, sativa and Syngenta and stacked input traits dominate the seed markets in both North America and South America. We're working in a pipeline of seed yield traits which can be combined or stacked with these traits and these crops. We can raise our staple food crops to -- on over 900 million acres globally. And North American wheat crop is about 72 million acres and rice is cultivated on an estimated three million acres. These crops have not benefited from the early ag biotech input traits and the ag majors have not yet developed the disruptive technology on the basis to consolidate the seed supply. These crops represent seed sector white space. Here we may be able to align with consumer perceptions and preferences by focusing on using CRISPR genome-editing approaches to bring differentiated improvements in these crops. We see emerging crops as such as Camelina becoming an important part of the future of agriculture, providing new options and additional revenue sources for farmers and developing more sustainable production systems for food, feed and the industrial markets. The biomass crops forage sorghum and Alfalfa used to feed dairy cows and other livestock, represent a combined 20 million acres in North America. Last year, the U.S. Alfalfa crop generated around $9.9 billion in value. We are currently working with Forage Genetics in sorghum. Based on inbound inquiries, we are engaging with a number of companies to develop relationships that can provide them with differentiated traits for seed, food, feed or other products while generating revenues to Yield10. Now let's turn to Slide 5 on our time line and path to value creation. We referred to 2017 and '18 as the emerging phase of Yield10 as we built our capabilities and credibility as a leading ag innovation company. During 2019, 2020, what we call the growing phase, we are focusing on commercial developing of our traits in major crops and increasing emphasis on developing revenue-generating partnerships through our traits and technologies more broadly. Success there will lead us into the harvest of commercial phase in 2021 and beyond. In January, was celebrated our second anniversary as Yield10 Bioscience. At the start of 2019, we had a 20 -- a rich pipeline of traits in development, over 10, and we have made the transition to deploying our traits in key commercial crops such as canola, soybean, corn, wheat and rice to generate food points. Leveraging third-party resources for much of this work has enabled us to begin developing partnership opportunities in the niche in specialty crop area. Let's now turn to Slide 6 to review our commercial strategy; we have developed multiple potential paths to revenue. For major North American commodity crops, we're accelerating development through working with the ag majors in their elite germplasm using their resources. They are much Bayer/Monsanto is working with C3003 in soybean, Forage Genetics is working with several traits in sorghum, and we've contracted a major ag player to deploy several of our traits in corn. Commercial license agreements with these type of companies where we expected to include upfront fees on executed and milestone payments during development before royalties kick in from commercial sales. The next path is specialty in niche crops. Year ago was to leverage our unique Trait Factory capabilities and proprietary traits we enroll or have been licensed in the participation in new business opportunities. This will provide us with potential revenue sources in addition to licensing to the ag majors. Yield10's unique capabilities are broadly applicable to a wide range of new food, feed, industrial and medical targets. Here we have been increasing our business development activities and exploring partnership opportunities. This activity has been steadily -- the third path to the commercial revenue involves our technology platform, where we can accelerate innovation based on the GRAIN platform to predict genes and gene combinations for crop improvement. Going forward, we believe the GRAIN platform can to be used to address a wide range of traits in a broad array of crops. By now you will have heard the word partnerships several times, not surprising, as this is an area of increased focus for us. Now let's turn to Slide 7. A summary of our recent accomplishments. I'm pleased to report the team has already made solid progress in 2019. First the C3003 trait. We completed seed bulk-up, permitting and contract and to support the initiation of our 2019 Field Trials to evaluate several traits in oilseed crops. We will conduct field tests of second-generation C3003 in canola as part of our activity to generate yield data from multiple growing seasons, a key part of the commercial development process. We will continue to fund the work to develop our own C3003 soybean lines and provide support to bidders activities, and C3003 -- C3004 in soybean. The C3004 trait, in 2018, we reported something surprising and exciting during the Camelina plants containing C3004 grew more vigorously, with the best lines producing increases in seed yield of up to 65% as compared to the control plants. These C3004 Camelina plants will be tested in the fields for the first time this year. Work is underway to introduce the Camelina C3004 gene to canola and corn. Our R&D team has already produced the first C3004 canola lines, and these will be progressed to field trials perhaps as early as 2020. Oil content traits; small field tests will be carried out in the U.S. on our initial CRISPR-edited oil-content boosting traits in Camelina. And I'm pleased to report that the R&D team has now developed our first C3007 CRISPR edits in Camelina and canola. Canola is already a major oilseed crop used to produce edible oils. In the remarks, Kristi will provide a little more color on the Field Test program. In corn, we initiated the development program earlier this year to evaluate several of our seed yield traits through a fee-for-service arrangement. The technical work is proceeding in line with our expectations, and we plan to add additional traits to the program in 2019. Corn is by far the highest value in the seed sector in the United States. Patents; in the first quarter, we received a Notice of Allowance from the U.S. Patent Office covering the use of C3003 to increased seed yield in crops. Yesterday, we announced that we have in-license from the University of Missouri additional technology in our C3012 trait. C3007 and C3012 are negative regulators of the flow of carbon to oil production in crops. In business, deregulation often results in increased revenues. So perhaps not surprising that deregulating a metabolic pathway and also increase the flow of carbon to crop products such as edible oils. This new IP complements the IP on C3007 relicensed since last year. So we're off to a strong start in 2019, focused on executing our key corporate milestones. And with that, I'll now turn the call over to Kristi for an update on our progress advancing the development of traits in key crops. Kristi?
Kristi Snell: Thanks, Oli, and hello, everyone. In my presentation today, I will describe some of the recent advancements in our trait pipeline and our plans for 2019. Let's now turn to Slide 8. Since our start as Yield10 in 2017, we have developed a pipeline of over 10 novel traits, and all of these are applicable to multiple crops. We use the early versions of our GRAIN gene discovery platform to identify ways to improve the efficiency of photosynthesis as well as the ability of the plant to direct more carbon to seed. Our C3003 and C3011 are traits derived from algae and bacteria, respectively. C3004 is based on a plant gene and is amenable to CRISPR genome editing. Based on their fundamental activity, these traits could be broadly applicable to commercial crops. We are developing a series of oil-enhancing traits to increase oil content, the primary driver of value in oilseed crops. We recently obtained our first edited canola lines with the C3007 trait. We are testing these traits alone and in various combinations to optimize oil content in seed yield. This work could lead to new commercial traits for Camelina, canola, soybean and other oilseeds. In 2017 and 2018, we obtained non-regulated status for two different Camelina genome-edited plant lines. One containing C3008 and the other containing changes to three oil-content genes. We are planning to evaluate these genome-edited plants at sites in the U.S. this year. Our third group of traits are the C4000 series, which are based on transcription factors or gene regulators in plants. In a model crop, we have seen significant increases in photosynthesis and biomass yield with these genes. We are deploying these traits in corn, wheat and rice, and Forage Genetics is evaluating some of these traits in forage sorghum. In 2019, our internal R&D resources will be focused on generating more extensive proof points on traits in canola and Camelina as well as wheat and rice. Let's now turn to Slide 9. In 2018, we field-tested Gen-2 C3003 in canola, and reported seed yield increases of 11% in two lines, the data that led us to initiate advanced development of C3003 in canola in 2019. Advanced development means we will be repeating field trials with the two current C3003 canola lines, stealing up our work to generate another 10 to 20 independent commercial-quality C3003 canola lines, and crossing our existing best lines into elite canola germplasm. Our goal is to develop multiyear, multisite field data to demonstrate the value of our C3003 trait in canola. The bulk-up, permitting and contracting process is complete for the 2019 trials. We expect planting to occur before the end of the second quarter pending suitable weather conditions, and anticipate reporting field trial results in the fourth quarter of this year. Based on our studies, we know that C3003 produces some significant changes in plants, and one of the things that changes in C3003 Camelina is the expression of C3004. C3004 is an unusual gene we discovered in Camelina and which seems to be quite rare in other crops. While it's function remains unclear, boosting its activity in Camelina under growth-taper conditions produces a remarkable effect on plant vigor, branching and seed yield. In September of 2018, we repeated our first seed yield results for C3004 in a trait-produced seed yield increases in the range of 26% to 65% over controlled plants. As you can imagine, there is quite a bit of excitement around testing C3004 in the first time in the field this year. We plan to collect agronomic and seed yield data and generate pure field-grown seed for further field testing in 2020. Our R&D team has already produced the first C3004 canola lines using the Camelina gene, and these will be progressed through the development process leading to field trials, potentially as early as 2020. Work is ongoing through a third-party to develop C3004 in corn, where we expect to have lines in early 2020. C3004 is a plant gene, so we also have the potential for creating non-regulated versions of the trait using genome editing at least in Camelina and possibly other crops. Let's now turn to Slide 10. Yield10 is developing a leading position in the development of CRISPR-edited novel traits to boost the flow of carbon through two key metabolites, acetyl-CoA and malonyl-CoA. These metabolites are crucial precursors to a range of interesting metabolic products including vegetable oil. A bit of history on this; the Yield10 team previously identified three trait targets, we called them C3008a, C3008b and C3009. These traits are involved in oil production and degradation. We will test lines with CRISPR-generated edits in these three trait targets in the field this year with the goal of measuring agronomic, seed yield and oil composition. Research being done on the ACCase complex by Dr. Jay Thelen at University of Missouri complements our internal work on oil biosynthesis. ACCase is the enzyme responsible for converting acetyl-CoA and malonyl-CoA, a key driver of oil biosynthesis. Last year, we secured an exclusive global license to C3007 and C3010. Based on more recent discoveries by Dr. Thelen and his team, we recently secured an exclusive global license to an additional target we are calling C3012. We are very active working to deploy this set of traits in plants. We recently obtained CRISPR edits of C3007 in canola and will be evaluating these plants in greenhouse studies in 2019 or 2020. Let's now turn to Slide 11. As Oli mentioned earlier, wheat and rice represent very attractive areas for new trait development. Here we are using CRISPR genome-editing strategies as we believe that consumer perceptions are more favorable around the use of this biotechnology approach to produce healthier foods. We believe our trait-editing targets could have a significant impact on these crops. Last year, we published our work with novel transcription factors, and this research forms the basis for our C4000 series of traits. In 2018, we made some good progress in wheat and rice with the C4000 traits. In 2019, we plan to generate proof points that we hope will demonstrate the promise of our traits in these key crops and position us to identify collaborative opportunities to test our genome-edited versions of these traits in commercial varieties. It's an exciting time for us as our R&D program is reaching the steep part of the learning curve and several of the traits in our pipeline look very promising, and we look forward to a productive year. Oli, back to you.
Oli Peoples: Thanks, Kristi, and the entire R&D team. The creativity and drive are certainly making it a pleasure to work for, and my job easier. I'm very confident we will continue to make excellent progress throughout 2019. Let's now turn to Slide 12 to talk about our affiliations to expand the testing of key traits in crops. Given our size and resources, we are managing to get a lot done with crops by leveraging the expertise and resources of ag industry leaders to deploy our traits in commercial germplasm and provide a path to commercial licenses. The work with Forage Genetics is well underway based on the research license we signed in 2018, enabling them to test five type traits in forage sorghum. Bayer is making good progress with the evaluation of our C3003 trait in soybean. This is a research license signed in late 2017, and we are very pleased with the considerable progress we have made. As these companies generate data at their cost in their target crops, we expect they will come to us and negotiate commercial licenses. For corn and soybean, the major crops in North America, our preference is to demonstrate the value of our traits before engaging in definitive, collaborative or licensing discussions. With respect to corn, we have engaged a major ag company to deploy our traits into corn and that work is underway. For wheat, we are working with researchers at NRC in Canada to develop genome-edit lines for evaluation based on our C4000 series traits. Based on the incoming queries, we are also in discussions with several third parties, interested in access to our technologies and traits for several smaller crops. In 2019, as we continued to generate more data on our traits, including field data, our activities will be focused on setting a stage for collaborations and partnerships. Please turn to Slide 13. Let's cover a few financial highlights, starting with the balance sheet. Our net opening cash usage was $2.3 million for the first quarter of 2019. We ended the first quarter of 2019 with $6.1 million in cash and cash equivalents. This cash balance includes the proceeds of a registered direct offering in March, which enabled us to raise $2.6 million net of offering costs. We issued approximately 2.4 million shares of our common stock in connection with the offering. We were pleased to be able to price these offerings at markets with low warrants. For 2019, we expect net operating cash usage in the range of approximately $9 million to $9.5 million, consistent with last year. We are directing this investment towards generating proof points, working in collaborations and advancing the development of our yield traits. We continue to have no debt on our balance sheet and expect our cash on hand, together with expected revenue from our current government grants, to support our operations through a number of technology proof points into the fourth quarter of 2019. Let's now review the quarterly and year-end operating results. The company reported a net operating loss of $2.3 million or $0.22 per share for the first quarter of 2019 compared to a net operating loss of $2.3 million or $0.24 per share from the first quarter of 2018. Total research grant revenues in the first quarter of 2019 were $124,000 versus $60,000 in the first quarter of 2018. In the first quarter of 2019, research and development expenses were $1.2 million and G&A expenses were also $1.2 million. This compares to $1.1 million of research and development expenses and $1.3 million of G&A expenses in the first quarter of 2018. For more details on our financial results, please refer to the earnings release. Let's now turn to Slide 14 to discuss our upcoming milestones. In 2019, we will continue to make progress on the following: Advanced development of C3003 in canola and putting generating data on our 2019 field testing program, and support Bayer Monsanto in the developing of C3003 and C3004 traits in soybean, generate yield data for C3004 in Camelina, and deploy the trait in canola and corn; advance oil-boosting traits using CRISPR genome editing including C3007 in canola and continue testing our C3008 and triple-edit Camelina plants in U.S. field studies; report progress with our source C4000 series traits in wheat and rice; support Forage in the evaluation of our traits in forage sorghum; continue to build our intellectual property portfolio; communicate our scientific innovations in technical presentations and papers; and secure fund in agricultural industry collaborations. With that, I'd like to turn the call back over to Lynne for questions.
Lynne Brum: Thanks, Oli. Tim, can you now poll for questions?
Operator: [Operator Instructions] Our first question comes from the line of James Jang of Maxim Group.
James Jang: So just a couple of quick questions. I mean everything seems like on track. But in terms of the testing, so let's just go to the oil content. What type of oil content increases are you looking for? Or do you think you need to get to reach before you can get to the next phase of commercialization?
Oli Peoples: Yes. So with the testing we're doing this year are in Camelina, but I think the -- you know, the math we use to sort of communicate the value of this is interesting. We've really focused on canola because it's a large acreage oilseed crop already in North America, primarily in Canada and North Dakota, 20 million acres. I think a 10% increase in the oil content of the seed dives about somewhere around $850 million per year to the crop. And of course, the oil is the primary driver of value in canola, that's really why they grow it. So the value creations from oil content is considerable. So a 10%-plus will be a pretty nice place to be, especially if it's in an edited trait that could be commercialized particularly quickly.
James Jang: So if you, sort of, test this year the -- I guess results next year, if they show across the board steady 10%-plus oil content gains, is that enough to start doing more -- I mean at what phase does that lead to commercialization?
Oli Peoples: Yes. So we're suspect to -- let's say -- we mentioned earlier in the presentation that we've got edits of C3007, another gene target for oil content increase. Already -- we've already made those in canola. We're just developing the plants that will lead to seed production or ultimately for field trials probably in 2020. So let's just take that as an example, let's say, that works, and we do in fact see a consistent 10% yield improvement with the edited line, and I'll provide you that we don't see a major yield drag or any other unforeseen event. That basically is a path to a commercial product.
James Jang: Got you. So as long as the seed yield doesn't drop, but the oil content increases, that's okay? You don't need the seed yield to increase as well to...
Oli Peoples: No. Well, you can afford some trade off because oil is obviously the more valuable piece. But the ideal situation would be -- I mean, the perfect situation is increased seed yield, and we have genes for that as well as increased oil content. That's the ideal. The likely is getting to the same seed yield with increased oil content is the basis for that, sort of, $800 million per year of additional value, I mentioned earlier. That's a good place to be. If we get there, we'll be pretty happy.
James Jang: So if we're being overly optimistic, after the harvest for this year, in 2019, if it shows that seeing some kind of marketing or development revenues to come in '21 or do you think it'll have -- could actually skip that and go to commercialization in '21?
Oli Peoples: Ultimately, to get this into the broader set [ph] traits, we still want a partner in canola and soybean, for example, with the other existing companies in the seed sector. So there we'd really be looking for partnerships. And to be perfectly honest, we're out there looking for those partnerships now. So we have a lot to offer, and a large part of what I'm doing these days is really partnership discussions with these types of companies. So I think...
James Jang: So you're on the radar for pretty much everybody though, right? So they're kind of keeping track of what you guys are doing and I guess they're just waiting for...
Oli Peoples: It's very encouraging, and largely thanks to the technical achievements of the team that we're getting an awful lot of inbound calls now relating to crops that we hadn't even been looking at. And so we're sort of leveraging. I think the first two years we were really trying to build credibility. And I think particularly the Monsanto arrangement helped us as did the Forage Genetics. I think those two are probably the only two we'll do without there being some form of cash considerations in Yield10, so the types of arrangements we're looking for now definitely have the economic components to them.
Operator: Our next question comes from the line of Ben Klieve of National Securities.
Benjamin Klieve: A couple here regarding kind of the time line for field trials. So first, Kristi, you commented on the corn partnership for the integration of C3004 to produce results by 2020. To clarify, do you think -- do anticipate being able to get corn with the 3004 traits into the field by next spring? Or are you going to get to see it at some point next year and you're going to probably begin field trials in 2021?
Kristi Snell: Yes. So we're to get the seed back next year from our provider, and then what we need to do is make what's called homozygous lines with their stable lines, and then we would need to make hybrids with elite germplasm, and after that, we would then put them in the field. So I think there's probably another year or so on your time line to really get them into field. Next year, we're only getting the seed back from the provider in the early part of the year.
Oli Peoples: I think their plan is that we've already been in discussions with the third party who has all the capability downstream including to make the hybrids with the right germplasm and actually execute field trials. So we've been -- in corn, it looks like you can pretty much have a virtual program. The magic is really the gene traits, which is what we own, and then we can use services to get us all the way to field trial results. It's also why we initiated several traits at one time because, obviously, these things take time. So we've got 6 or 7 of those traits from Yield10 in that package, right?
Kristi Snell: Yes.
Oli Peoples: One's pretty...
Benjamin Klieve: Got it. Okay, perfect. I guess for the other crops that you anticipate testing the same trait in on -- curious if you can just kind of break down the time line here. I mean do you -- so it sounds like canola in -- potentially in 2020, corn maybe '21 or '22. What are your thoughts on your internal field trials with sorghum and soybean?
Oli Peoples: Yes. So regarding C3004, we're not yet -- we're not into sorghum. It's really targeted seed and the partnership we have is really looking at Forage for hay and silage feed. We are a little limited in our resources for soybean, and so we are looking for all our service providers to supplement the ones we have. Obviously, we're also talking to our existing soybean partner Bayer about this because the results with this particular C3004 were somewhat unusual.
Benjamin Klieve: And I guess a question piggybacking off that. With regards to the relationship with Bayer Monsanto, do you have any idea what regions they are working on this in? With such a -- just a brutal spring, I'm wondering if there -- if you have any idea, the potential for weather conditions to really impact kind of the time line of those trials?
Oli Peoples: Yes. So we have a pretty straight confidentiality agreement with Monsanto. Fortunately, they have been very open with us in sharing information, but obviously, we're not able in turn to share with everyone else. I think all we can really say is that, I guess, we were pleased that there are further ahead than we expected. But, obviously, they've got a ways to go because that original program which was initiated in 2017 in terms of executing the research license, the actual technical work of going in Q1 of 2018, and it's a 3.5-year agreement to give them ample time to get a field data. And Monsanto has more experience of doing field trials of this type than anywhere else in the planet, and they're very aware of the vagaries of all the challenges they face. We've seen ourselves, but I think we've seen on a level we can't even comprehend. So I think it's in good hands with them. I think we're really pleased they're making progress. The team that was working on it, the transition through the Bayer acquisition has worked out well. The team is working really great, and they've actually been very open with us and that's more than I thought we were going to get. So I'm pretty pleased with the way they are moving us forward.
Benjamin Klieve: Okay, perfect. Then I guess a couple of other questions regarding your go-to-market strategy. So you guys -- you commented more on today's call than I remember in historical calls regarding the level of inbound inquiries. And I guess I'm curious if you can comment on the nature of these inquiries? And what the smaller crops are that you're referring to? And then also, can you maybe comment on what really triggered these companies to proactively reach out to you? How were they familiar with your work? What do you know about kind of what led to the decision to reach out to you?
Oli Peoples: Yes. It's -- I think the decision is really -- as far as I can tell, is really related to the technical and scientific presentations that Kristi and her team have given. We've been pretty, I'll say, up front in terms of publishing data and what have you about the progress we made. I mean the C3004 trait, the results of that somewhat spectacular, I guess, is a good word. We have to repeat it and there's all kinds of caveats of that. But that type of result -- the results for the C4000 series, that's also been exceptional boosting C4 photosynthesis and switchgrass. We're, obviously, translating those genes into corn and the Forage is translating into sorghum. And we've actually moved them into wheat and rice as fuel to identify editing targets. That's some of the data we hope to be talking about later this year. And so we're finding is that genome editing and the ability with a Yield10 has towards Trait Factory to identify genome-editing targets has really opened the door to all the smaller players, I would -- and perhaps you'd call them second, I mean, they're first-rate companies but perhaps second-tier seed companies when you compare them to the Ag majors. But they're all now looking at being able to use very sophisticated, advanced biotechnologies to improve their offerings to the farmers, and Yield10 happens to be a pretty rich source of that. So it's a credit to our science team and the science we've done. We're doing stuff that hasn't been done in crops before and finally, we're getting recognition for it.
Benjamin Klieve: Yes, that's great. And – sorry, go ahead.
Oli Peoples: I deliberately didn't mention the crops because...
Benjamin Klieve: And that was going to be my follow-up question. Yes.
Oli Peoples: Yes. I know. No, look, I really appreciate you wanted to know. But look, there's a number of smaller acreage crops that are pretty high value, everything from medical applications to food applications and so we can't get into any specifics on those. But certainly, interested in this piece, and it's great to see it coming in.
Benjamin Klieve: And I guess last one for me and I'll get back in queue here. I'm curious if there has been really any difference in how your go-to-market strategy has really evolved over last 6 months now that you're now that you have Sherri Brown onboard?
Oli Peoples: Yes. You know what, she's great. So first of all, we are really lucky to have her, and we greatly appreciate her interest in the company. And again, that's really -- it's got very little to do with me, that's mainly to do with the science team. I mean Sherri recognizes that the core of the GRAIN of the Trait Factory, this GRAIN discovery platform is really unique. And it's a capability the big companies simply don't have. I can share her with you, and if you ever see her, you can ask her. She's extremely shocked at the level of productivity at Yield10 given the size of the organization and that's also a complement to the research teams. So I think mainly diligence around making sure that when you do these field trials, you're looking at them the right way, being very realistic about where you're at, and I think, consistently since we became Yield10, we've kind of tell it like it is, not sure everybody wants to hear it, but that's kind of the way we do things. And so that's all stood us in good stead. We've also been able to look at some other opportunities in the niche crop space, and there's definitely in the U.S., the sense we get is there's a growing interest is probably driven as much by the current trade situation with China on the need to develop alternative crops who would be processed and used internally, essentially to support the farm sector. And there, Yield10 has some things that we worked on and that we're obviously beginning to move forward, which is why we really mentioned in more detail, interest in the specialty and niche crops. And so we are doing some things in that area. In all cases, the goal is to actually find partners for these things. We are looking for essentially funded partnerships.
Operator: [Operator Instructions] Our next question comes from the line of Jon Hickman of Ladenburg Thalmann.
Jon Hickman: Can you guys -- do you have Slide 14 in front of you?
Oli Peoples: Slide 14, I actually do.
Jon Hickman: Can you go through those and tell me when you might have news for us? Not just you're going to, but a time frame, like end of the year, middle of the year, something like that?
Oli Peoples: Yes. So I think in terms of -- basically, the field trails, they were going to be the end of the year just because that's growing season. There's not much we can do about it. We have made good progress in oil-boosting traits in Camelina and now also in canola. We'll decide what we're going to do with that data once we've generated it. The plans are still being developed, particularly for the C3007 trait. Regarding the 4000 series traits in wheat and rice, that work is ongoing. We have the plants. We're looking at generating the data early in greenhouses because obviously, we haven't released those yet. Same in rice. And on those, we would be talking about what, Q2, Q3, Kristi?
Kristi Snell: By Q3.
Oli Peoples: Probably Q3. Revenue-generating ag industry collaborations, we're working on a number of those. Those are all unpredictable in terms of time lines. Intellectual property, we've actually been doing a lot in that space, and actually now we're starting to see some of the fruits from that. That's again unpredictable from the point of view of the Patent Office that does these when it can. Communicating scientific innovations, when's your next presentations?
Kristi Snell: June.
Lynne Brum: Yes. We have a couple of conferences we're going to -- two genome-editing conferences, one in June and one in November, and then we're talking at the big Plant Biology meeting in August.
Oli Peoples: So the field trails we'll be announcing when we've actually got these planted, once we've seen them pop up out of the ground, and we know they're growing and going be there. Right now, the weather in Canada, in particular, has changed a little. It was warm enough and it cooled right down, and now they're waiting for a little bit more moister. Is that correct?
Kristi Snell: Yes.
Oli Peoples: In the soil before they actually plan them. So we're responding to the changes in the weather and doing this so we execute it as effectively and as efficiently as we can. Once we have the planting done, we'll let you guys know. Once we make progress in any of these traits, and anything else that pops up between now and then, then obviously we'll be communicating it as we go forward, sure.
Jon Hickman: So in your press release, it talks about the fact that your cash position doesn't give you 12 months of runway here. Can you comment on that?
Oli Peoples: I think our cash position doesn't give 12 months of runway, so we basically -- we'll be able to get through several proof points before the end of the year. And we'll be looking at the cash position and have been looking at the cash position since 2015.
Jon Hickman: So what are the two proof points that you're looking for by the end of the year that you think will make a difference?
Oli Peoples: I think we'll have interesting data in some of the plans that are not in the field test. We'll have to see what happens.
Jon Hickman: Greenhouse?
Oli Peoples: Yes?
Jon Hickman: You mean greenhouse data?
Oli Peoples: Yes, it's probably greenhouse data for essentially rice and wheat. We may have some greenhouse data from some of the oil traits. We'll decide what to do about that. But I think regarding the collaboration, obviously, those would be the ones that we are, obviously, heavily focused on because we think those are potentially game-changing for the company. There's a little bit of a challenge in predicting if and when those will happen. And that's the reality of this business.
Operator: [Operator Instructions] There are no further questions over the audio portion of the conference. I would like to turn the conference back over to Ms. Lynne Brum for closing remarks.
Lynne Brum: Yes. Thanks, Tim. And I'll now turn the call back over to Oli for any concluding remarks.
Oli Peoples: So I'd like to personally thank all of you for joining us on the call today. And especially our shareholders for your continued support. This is an exciting time for our industry and for Yield10. Our team is laser-focused, and I feel a little bit like Tom Brady here. And progressing our traits to fulfill our mission to produce step-change improvements to crop yield to ensure global food security. Only difference is with Tom Brady is I don't have the money, the looks, or perhaps, the gorgeous life. So I want to thank everyone at Yield10 for setting us on track to reach our goals in 2019, and I look forward to achieving our milestones this year. Have a nice evening.
Operator: This concludes today's conference. Thank you for your participation. You may disconnect your lines at this time. Have a wonderful rest of your night.